Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Greetings, and welcome to the Black Knight Fourth Quarter and Full-Year 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. 00:31 I would now like to turn the call over to your host, Steve Eagerton, Investor Relations. Thank you and over to you sir.
Steven Eagerton: 00:40 Thanks. Good morning everyone, and thank you for joining us for the Black Knight fourth quarter 2021 earnings conference call. Joining me today is Chairman and Chief Executive Officer, Anthony Jabbour; President, Joe Nackashi; Chief Financial Officer, Kirk Larsen. Our results were released this morning and the press release and supplemental slide presentation have been posted to our website. This conference call is being recorded and will later be made available on our website. 01:07 This call will include statements, related to the expected future results of our company, and are therefore forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our earnings release, Form 10-K, and other SEC filings. 01:27 Today's remarks will also include references to non-GAAP financial measures. The additional information, including reconciliation between non-GAAP financial information to the GAAP financial information is provided in the press release and supplemental slide presentation. This call will be available for replay via webcast through Black Knight's Investor Relations website at investor.blackknightinc.com. 01:49 I'll now turn over the call to Anthony.
Anthony Jabbour: 01:51 Thank you Steve. Good morning everyone, and thank you for joining us for our fourth quarter earnings call. Today, I'm going to discuss highlights from 2021 and our plans for 2022, as well as our announcement this morning. I'm very proud of how our company has performed in 2021 and how we remain focused on the health and safety of our employees, supported our clients and executed exceptionally well against our strategic initiatives to drive long-term value for all of our stakeholders. 02:20 From a financial perspective, fourth quarter was another outstanding quarter that closed out an outstanding year. Organic growth was nearly 11%, adjusted EBITDA grew 12% and adjusted EPS grew 10%. From a sales perspective, 2021 was a record year and the fourth quarter was the highest of the year. 02:42 I'll now provide an update on the performance of each of our businesses, beginning with our industry-leading Servicing Software business. We are laser-focused on our client relationships and enjoy exceptionally high client retention with only two competitive losses since 2013. In the fourth quarter, we signed one of those five facts for multi-year MSP relationship and look forward to a long future together. 03:07 We also signed three additional new clients to MSP in the fourth quarter. For the full year, we signed a total of 16 new MSP clients, which is the highest number of clients signed on record and almost double the number of new clients signed in 2020. These clients, along with other implementations and process provide more than 1 million loans to MSP by the end of 2023. Our ability to sign new MSP clients at such a pace clearly demonstrates the value of this comprehensive platform and our ability to capitalize from the opportunities available to us. I'm proud of how hard we work to deepen the relationships with our existing clients as well as attract new clients. 03:51 The value that our clients placed on innovation can be seen in the adoption rate of the next-gen products Black Knight has delivered over the past few years, servicing digital and customer service digital were developed with a cloud-first approach and loss mitigation and claims leverage our advanced API strategy, allowing them to deliver innovative solutions to market, quickly in response to our clients' biggest pain points. When we sell MSP to new clients or renew existing client contracts, we bundle our new innovative technology that helps servicing grow revenue, improve margin and support regulatory compliance. In fact, we have more than doubled the number of solutions bundled into MSP new client sales compared to six years ago. 04:37 We also cross-sell our new innovative technologies to existing MSP clients. Specifically in 2021, we signed 37 new servicing digital deals, 20 new loss mitigation deals, 15 deals for our next-generation customer service solution, and seven deals for our claims solution. Our trusted position in the mortgage industry, the deep customer relationships we have earned, our extensive industry knowledge and our agile product delivery practices allows us to respond with urgency to industry changes like the pandemic and deliver meaningful solutions at the right time. 05:17 We delivered and continue to improve forbearance tools for borrowers through Servicing Digital, while enhancing an already robust loss mitigation solution for our clients. To add even more value, we also integrated servicing digital with our collateral analytics AVMs, and our Optimal Blue PPE. 05:36 Last quarter, I mentioned that we were integrating with an insurance marketplace to give our clients' customers the ability to select insurance policies through Servicing Digital. We've completed this integration ahead of schedule, and we've also enabled connections to payment providers so customers can use alternative payment methods like Apple Pay, Google Pay, and debit cards to make real-time mortgage payments. These integrations are part of our strategy to allow our clients to provide their customers the ability to manage anything related to their home through servicing digital and improve the customer experience. 06:13 As you can see from the examples I just provided, we deliver the innovative servicing digital platform to continue to identify ways to expand the solutions available to our clients that will help them better serve their customers. We're also developing new capability for the recently acquired Surefire marketing automation platform that was originally built to serve the origination market, to help servicers provide better customer service and reduce call volume. 06:42 As an example, escrow statements are mailed once an escrow analysis is performed on the loan. Servicers receive more inbound inquiries from these statements than they do from any other single event throughout the year. We are leveraging Surefire to create and share personalized, explanatory videos for Servicing Digital to help reduce its call volume. We will be offering similar capabilities to address other high call volume topics, such as explain private mortgage insurance and when it can be removed and the potential benefits of the refi which will also include a link to Servicing Digital to apply for a refi. 07:20 These valuable additions which are designed to give our clients the tools they need to better serve their customers will be available in the second quarter are just a few examples of the endless ways we can integrate our significant capability to solve more client problem. 07:37 Next, I'm going to provide an update on our origination software business where we continue to see significant momentum. In the fourth quarter, we signed 10 new Empower deals, including signing a top 25 non-bank originator and an existing top 25 originator, adding their wholesale channel. For the full year, we signed a total of 13 Empower clients, which is at the high end of the expectation we shared last year and the most new clients we have signed in a single year. Based on our strong pipeline and sales momentum, we expect to sign more clients in 2022 than we did last year. 08:15 In 2021, we also signed 44 new Product Pricing and Eligibility or PPE deals in the fourth quarter and 189 deals for the year in 2021. 12 pending deals in the fourth quarter, and 39 for the year. 18 new AIVA deals in 2021 and 88 deals for our fee service solution. Nearly, half of our Empower wins this year were existing Optimal Blue PPE clients. Additionally, we bundled the Optimal Blue PPE to nearly all of our Empower sales, which illustrates the bidirectional cross-sell benefits. This is one example of how bringing Optimal Blue into the Black Knight ecosystem continues to deliver strong results. 09:04 When we sign a new Empower deal we bundle additional solutions that help lenders improve their ability to serve customers, mitigate risks and generate new leads. In fact, over the past six years we have increased the number of solutions bundled in an Empower sale by nearly five times. As an example, because of the investments we have made in AIVA, lenders are realizing increased efficiency from this robust technology which continues to see increased adoption by our lender clients. 09:35 Lenders are taking advantage of this machine learning technology because they can assist with tasks such as document classification and data extraction that are used in their underwriter solution set. They're also integrated with our advanced point of sale and the complimentary digital solution that allows loan officers to see where their customers are in the application process. 09:59 In addition to serving the retail and correspondent markets, we're focused on delivering superior solutions for mortgage brokers. Last September, we introduced LoanCatcher, a cloud-based LOS platform designed specifically for mortgage brokers, which we acquired from NexSpring last March. Since launching the solution, we have signed 74 clients, including some early 2022 wins and anticipate building on the success throughout the year. This new solution is integrated with our LoanCatcher PPE, which is also designed specifically for brokers and gives this growing segment the power of a Black Knight system that is tailored to their specific needs. 10:40 We are certainly pleased with the pace of integration we delivered for our clients in 2021. To recap, we integrated Empower with our Optimal Blue PPE, and we integrated the recently acquired Surefire platform with LoanCatcher, Empower and our Capture solution. We also integrated Capture with our Optimal Blue PPE, which enables Capture to generate even more accurate or specific pricing scenarios using the lender's current pricing in the most up-to-date market and margin structure. Of course, these customized pricing offers can also be fed into servicing digital, as refi offers to our clients' customers, further demonstrating the value of our integrated solution set. 11:25 Moving on to our data and analytics business. This business saw consistently strong sales [indiscernible] in 2021, including continued strong demand for our rapid analytics platform or RAP. Recent signings include one of the world's largest investment companies who are using Optimal Blue rate loss data, McDash data and the multitude of Black Knight data available on RAP that simulates their proprietary data and help drive their asset management strategy. 11:56 Hence recently completing the integration of both the Optimal Blue data and eMBS data, we've seen increased interest in RAP. The Optimal Blue data allows lenders to receive real-time pricing feedback at a product and geographic level. This is key because loan officer should reach out to their lenders when they feel pricing is too high, which limits loan officers ability to compete. The consolidation of the eMBS data into RAP and the ability to view the data above the loan level and the pool level help secondary marketing teams to make better informed decision. This data also allows them to model conditional prepayment rates and identify their own performance as compared to the overall GST pool. 12:39 We continue to develop new analytics and offering leverage both for data within our data and analytics business line, as well as data from other solutions across the company. 12:50 Before I close, I want to discuss the announcement which we made earlier this morning. We have reached an agreement with Cannae Holdings and Thomas H. Lee Partners, our co-investors in Optimal Blue, divide their ownership interest in Optimal Blue. The transaction will close today, after which will own 100% of Optimal Blue. When we and our co-investors acquired Optimal Blue in 2020, we had high expectations for how the company would perform, how we could build on that strong performance by tightly integrating the solutions into the Black Knight ecosystem, because the potential to cross-sell these solutions for our client base. 13:28 Our ability to integrate and sell their solutions has met our high expectations, both from a financial and a timing perspective. We're looking forward to building on this strong foundation in the coming years. With the value of our Dun & Bradstreet investment more than doubling, we are taking part of those gains and investing them in this transaction, which is strategically important, I think. 13:53 Additionally, we announced this morning that Black Knight Board of Directors has appointed the Executive Chairman for the company. Joe Nackashi, a 35-year veteran of the company and President since 2017 has been appointed CEO. Additionally, Kirk Larsen has been appointed President and CFO. Kirk joined the company as CFO in 2014 and led Black Knight through its IPO in 2015. I'm very confident in these promotions, which will take effect in May. I'm proud of what we've accomplished in the past four years, and I look forward to continuing to work with this skilled executive team and my talented Black Knight colleagues to continue to deliver even greater success in the future. 14:39 In summary, 2021 was an outstanding year by any measure. As we move into 2022, we'll build on the significant momentum we have created by continuing to execute on our strategic initiatives, drive organic growth through winning new clients, delivering innovative products in an accelerated pace, and cross-selling our solutions to existing clients. We will continue to integrate our recent acquisition and leverage those capabilities wherever we can across the Black Knight ecosystem. As always, we remain focused on providing exceptional support to our clients at all times. 15:16 I'll now turn it over to Kirk to go through the details of the financials.
Kirk Larsen: 15:19 Thanks Anthony. Good morning everyone. As you heard from Anthony, we had a great year in 2021, we are very excited as we look ahead to 2022. With that said, I'll take you through the details for the fourth quarter and full-year 2021 and our outlook for 2022. 15:34 Turning to Slide 3, on a GAAP basis, revenues for the fourth quarter were $386 million, an increase of 13% compared to prior-year quarter. Operating income was $83 million, an increase of 32%. Operating margin was 21.5% compared to 18.3%. Net earnings attributable to Black Knight were $61 million, an increase of 29%. Diluted earnings per share was $0.39, an increase of 30% and net earnings margin was 14.5% compared to 12.3%. 16:05 Now, moving on to the full year, on a GAAP basis full year revenues were $1.475 billion, an increase of 19% compared to the prior year. Operating income was $303 million, an increase of 14%. Operating margin was 20.5% compared to 21.5%, net earnings attributable to Black Knight were $208 million compared to $264 million and diluted EPS was $1.33 compared to $1.73. Net earnings margin was 12.2% compared to 19.8%. 16:38 Turning to Slide 4, I'll now discuss our adjusted results for the fourth quarter and full year 2021. For the fourth quarter, organic revenue growth was 11%, which included a modest headwind of $3 million or less than 1 percentage point from lower origination volume. In the quarter, revenues sensitive to origination volumes were down approximately 9% versus total origination volume being down 34% per the NBA, so the revenues now represent only 8% of our consolidated revenue. 17:08 Adjusted EBITDA was $188 million, an increase of 12% and adjusted EBITDA margin was 48.7%, compared to 49%. Adjusted operating income was $150 million, an increase of 11%, and adjusted operating margin was 38.8%, compared to 39.3%. Adjusted net earnings was $102 million, an increase of 9%, and adjusted earnings per share was $0.66, an increase of 10%. 17:36 Now moving to the full year, organic revenue growth was 10%. Adjusted EBITDA was $724 million, an increase of 19% Adjusted EBITDA margin was 49.1% compared to 49.2%. Adjusted operating income was $578 million, an increase of 22%. Adjusted operating margin was 39.2%, compared to 38.3%. Adjusted net earnings was $371.5 million, decrease of 15% and adjusted earnings per share was $2.38, an increase of 13%. 18:10 Turning now to Slide 5, I'll discuss our Software Solutions segment result. In the fourth quarter, revenues for the Software Solutions segment increased 13% to $329 million. Organic revenue growth was 11%. Our servicing Software Solutions revenues increased by 7%. The growth was driven primarily by higher usage based revenues on MSP, revenue from new innovative solutions and new client. 18:35 In origination Software Solutions, revenue increased 28% and organic revenue growth was 20%, driven primarily by growth in new clients and the network effect in Optimal Blue. Effective low origination volume was only a headwind of $1.5 million. EBITDA for our Software Solutions segment increased 11% to $185.5 million and EBITDA margin was 56.3%, compared to 57.5%. 19:01 Operating income increased 10% to $151 million, and operating margin of 46.0%, compared to 47.3%. Full year 2021 revenue increased 20% to $1.25 billion. Organic revenue growth was 10%. EBITDA increased 18% to $714 million and operating income increased 20% to $583 million. EBITDA margin was 57.1% compared to 58.1% and operating margin was 46.6 % compared to 46.5%. 19:35 Turning to Slide 6. Fourth quarter revenues for the Data and Analytics segment increased 11% to $57 million. Organic growth was 8%, primarily driven by strong sales execution and revenue from new innovative solutions. Effective low origination volumes was only a headwind of approximately $1.5 million. EBITDA increased 19% to $19 million, and EBITDA margin was 33% compared to 30.8%. Operating income increased 21% to $15 million and operating margin was 25.8% compared to 23.6%. 20:10 Full year 2021 revenue increased 13% to $225 million. Organic revenue growth was 10%. EBITDA increased 24% to $18 million and operating income increased 30% to $65 million. EBITDA margin was 35.6% compared to 32.6%, and operating margin was 28.7% compared to 25.0%. Adjusted EBITDA for the corporate segment in the fourth quarter was a loss of $16 million compared to $15 million in the prior year quarter and $70 million for the full year 2021 compared to $59 million in 2020. 20:47 Turning to Slide 7, I'll walk through our balance sheet highlights. At the end of December, we had cash and cash equivalents of $77 million. Total debt principal as of December 31 was $2.415 billion with revolver capacity of $744 million and a leverage ratio of 3.2 times on a net basis. Pro forma for the Optimal Blue transaction announced today, our leverage ratio would be 3.9 times on a growth basis and 3.8 times on a net basis as of December 31, 2021. 21:17 Turning now to Slide 8, I'll walk through our outlook for 2022, which reflects the effects of the Optimal Blue transaction we announced this morning. Revenues are expected to be in the range of $1.593 billion to $1.612 billion, representing reported growth of approximately 8% to 9% and organic growth of 7% to 8%. Adjusted EBITDA is expected to be in the range of $786 million to $803 million and adjusted earnings per share is expected to be in the range of $2.63 to $2.72. 21:47 Additional modeling details underlying our outlook are as follows. We are planning for a $30 million tailwind and higher foreclosure volumes with the expiration of the moratorium and other measures that precluded most foreclosure starts. As it relates to origination volume sensitive to revenues, we are planning for an approximately $30 million headwind from lower origination volume, with expected growth in purchase volume to be more than offset by expected lower refinance volumes. As we proceed through the year, we'll provide you with updates on what we are assuming for both foreclosure and origination-related revenue. 22:18 As far as growth expectations for the businesses, we're planning for software solutions to deliver low double-digit revenue growth, reflecting service and software revenue growth of high-single digits, including foreclosure volume tailwind, origination software revenue growth of mid-teens, including the origination volume headwind. And Data and Analytics revenue down a few percent, driven by origination volume headwinds, as well as the removal of two data deals at lower annual rates due to a reduction in the scope of the data provider. The combined headwinds in those renewals this year was approximately $7 million. 22:51 On the expense side, we're expecting increases in sales and marketing and travel and entertainment expenses as a result of a return to a normal operating environment and higher personnel expenses and wage inflation above our typical annual increases. In total, we expect approximately $12 million of incremental expenses above 2021 levels related to those items. 23:10 As far as the in-year benefit from the Optimal Blue transaction, it will result in the elimination of noncontrolling interests going forward, partially offset by modestly higher interest expense and a slightly higher tax rate. The net benefit is an additional $0.11 of adjusted earnings per share in 2022. As far as other inputs for your model, we expect interest expense of $89 million to $92 million. Depreciation and amortization expense of approximately $160 million, excluding the net incremental depreciation and amortization resulting from purchase accounting. The increase in 2021 is primarily due to the accelerated pace of innovative new products and functionality going into production in late 2021 and forecasted for this year, as well as higher commissions from the record sales year. Earnings attributable to non-controlling interest is expected to be approximately $3 million. This relates to the 40% of Optimal Blue that we didn't own from January 1 of this year through today. 24:04 As mentioned earlier, we will not have non-controlling interest going forward. We expect an adjusted effective tax rate of approximately 23% and full year diluted weighted average shares outstanding of approximately $156 million. Although we do not provide quarterly guidance, I want to provide you with some color as to how we expect to progress through the year. As a reminder, we plan at the midpoint of our guidance range. We expect revenues to be down slightly from the fourth quarter of 2021 and in the first quarter of 2022 and then grow throughout the rest of 2022, resulting in relatively steady year-over-year growth as the year progresses. 24:37 We expect adjusted EBITDA margin to decline slightly from the fourth quarter of 2021 through the first quarter of 2022 due to normal seasonality. We then expect margins to expand sequentially in the second quarter and third quarter, with a slight sequential decline in the fourth quarter due to typical seasonality. 24:52 That concludes my remarks, I'll now turn the call over to the operator for Q&A.
Operator: 24:58 Thank you very much. At this time we'll be conducting a question-and-answer session. [Operator Instructions] We have our first question from the line of John Campbell with Stephens Inc. Please go ahead.
John Campbell: 25:43 Hey guys. Good morning, and Anthony congrats on the great work over the last few years, and your kind of instrumental role in helping instill a greater sense of innovation with urgency, I think is the way you put it, it's like you're definitely leaving the organization better than you found it, so congrats there. And then Joe congrats on a deserved promotion, look forward to working more closely with you.
Anthony Jabbour: 26:02 Thank you John. I'm not leaving, I'm transitioning John. I'm still with you guys, don't get rid of me that easily, John.
John Campbell: 26:07 That's right. That's right. I wanted to dive into the MSP pipeline for a second. I think in 2Q, you guys called out maybe $2 million kind of MSP loans coming over the next 18 months. I think last quarter that was closer to $2.1 million. But I think that included Caliber, which is obviously already live. But Anthony, I think you called out $1 million loans through 2023. I'm just kind of looking for any kind of direction you guys can provide, maybe on the phasing of that implementation schedule? So I don't know, for starters if you guys can just call out what you're exiting 4Q at MSP loan count and then secondly maybe a sense for how much of that $1 million lands in 2022 versus 2023?
Kirk Larsen: 26:44 John, I'll take that. The loan count, I don't have it handy, actually it's $36.6 million total loans or just slightly under that as of the end of December. As far as the 1 million loans coming on, you think about what's backing that up, it's the wins over the past two years, right? It's the six team we had this past year and then nine at the tail of some of those as well. They'll come on, I'd say pretty evenly as you look over the next year plus, so there's a couple that are on the larger side relative to some others, but there aren't any better as chunky as Caliber as they come on. So, they'll come on pretty smoothly and frankly perhaps they're all going very well. It is a finely tuned machine as we implement MSP. So, we have a lot of delighted customers that will be on the platform sooner versus later.
John Campbell: 27:39 Okay. That's great. And then on Optimal Blue, congrats on the deal there. It feels like it cleans up the story a lot. You guys obviously get some recognition for your DNB shares now, recognizing that value. But, I'm curious about how you're thinking about this for this year. I think it grew 25% or so last year. You talked to kind of 20% over time, but I'm curious how you're thinking about Optimal Blue with mortgage headwinds this year and then you've also talked to expecting the underlying margin of Optimal Blue to kind of head towards the company average. Are you still feeling like that's on course?
Kirk Larsen: 28:12 Yes. Absolutely John. From a growth perspective in 2022, it would be a hair under that 20% because of a little bit of the mortgage headwind. If you think about how the mortgage headwind is going to roll out. First of all, as you think about it from a company perspective, it's really getting smaller and smaller as we look at those revenues. For the total company, we're 8% of the total and they'll be 6% of the total by -- as we look to the end of the year. But that said, there is a little bit of that in Optimal Blue. 28:41 And so, I think this year it's likely a high-teen grower. Frankly, the sales in 2021 were fantastic and give us a lot of confidence in the ability to grow at those levels in 2022. But there is that, that modest headwind primarily in the hedging side of the business. But we are -- it goes without saying, we're thrilled to be able to own 100% of Optimal Blue at this time. Very pleased that our partners were willing to transact prior to the three year mark where the call rights would have been operative. And we just see that there's so much that we can do with Optimal Blue. It's been a great year and a half so far, and we think the outlook for that business is terrific. And from a margin perspective, sorry, to answer that part, margins are expanding very nicely. They are -- they were arguably ahead of where we were expecting them to be, coming out of the gate. 29:32 This 2022 Optimal Blue will like the rest of the company see some sales and marketing and travel and entertainment expenses kind of reverting back to a norm. But as we go through that, we'll see margin expansion but maybe not at the same rate that it had been the last couple of years, but then we still see the margins being able to expand significantly in that business, because it's just -- it's such an efficient operation that we have there with a very -- with a great SaaS model and just not a lot of variable expenses as we grow. So a lot of -- continue to see a lot of room for margins to expand there.
John Campbell: 30:08 That's all great to hear. I'm not sure what else you guys could be doing, it's a great work. Thanks.
Kirk Larsen: 30:13 Thank you John.
Operator: 30:16 Thank you. We have next question from the line of Andrew Jeffrey with Truist Securities. Please go ahead.
Andrew Jeffrey: 30:23 Hi. Good morning guys. Appreciate you taking the time. It's good to see -- I'll echo the comments, good to see you bringing Optimal Blue in. I wonder Anthony, you mentioned a lot of cross-sell across the business, in Optimal Blue in particular. Can you talk about perhaps what the company can do now that it controls the Optimal Blue entirely, that perhaps you couldn't have done before? And maybe how far along the yield or pricing or cross-sell or however you want to think about it, sort of how far along that path the company is and what the additional opportunity is in terms of cross-selling and evolving Optimal Blue's offerings?
Anthony Jabbour: 31:09 Sure. No, I appreciate that Andrew. Thank you. With Optimal Blue in terms of what we can do now that we couldn't, I wouldn't say there is anything that we can do that we couldn't prior or that we weren't. It certainly simplifies it completely by them being wholly-owned. So internally, it simplifies it for us, simplifies it, I think just externally as well for some of our investors and maybe clients. But we've been acting with a tremendous sense of urgency around the integration with Optimal Blue. And like I said, are very pleased with the progress that we've made with it. 31:45 I think from a cross-sell perspective and where we are on that journey, I think we're early days and again where the market -- I think, may try and put us into a box and look at OB and cross-sales of that into our origination business only. We look at integration across the whole company and that's what's making a difference for us. And so, we've seen increases in -- of sales in our RAP product, in our data and analytics business because it now has data from Optimal Blue that we brought into it, so it's a new catalyst. 32:22 So, we're constantly looking at catalysts that we can create to drive value for our clients. And so I'd say, overall, it's early days for us in terms of all the things that we can cross-sell going to market together. Like I said in my prepared remarks, we signed four Empower clients already to MSP as well for that matter and we're ahead of where we were last year at this time. So, the engines producing the strategy is working and we're going to continue look forward to cross-selling every capability we have in unique ways, driving value for our clients.
Andrew Jeffrey: 33:01 Okay. Thank you. Appreciate that. Kirk, could you just drill in for a second on D&A? And I think you had mentioned perhaps some pricing changes there or pricing headwinds, it really sounds like the software segment is hitting on all cylinders. Any thoughts on sort of the transitory nature of that and what you might expect longer term from the DNA segment?
Kirk Larsen: 33:24 Yes, absolutely. Thanks for asking Andrew. It goes without saying the Data and Analytics segment has had a terrific run in the last couple of years and the momentum that we've seen there, frankly, is continuing. And so I'll unpack the expectations for 2022 to just kind of highlight that. The expectation of a modest decline in that business really has two components. The first is the origination volume headwinds which, if they come through as we are planning that will basically -- will get to a normalized level of origination volumes by the end of 2023, maybe a little bit of dribble over into 2023. And our view right now is relatively consistent with other forecasts you see from the GSEs and from the MBA, but by our own analysis, we look something similar. 34:11 The two deals that you're referencing, to be candid, when we signed those deals back in 2014 and 2015 they were long-term strategic deals. And frankly, we didn't expect them to renew at the time. We expected that those clients would actually gather the data themselves when the contract term was up. And so our long-term plans including those not renewing. And then what was found as we got closer to the expiration of those contracts was, they realized that gathering public records data is really hard. It's really hard to do, it's really hard to have nationwide coverage, it's really hard to have a very high quality at the levels that we have. And so they renewed the deals, but at a reduced scope. And so it isn't per se a price adjustment as much as it was a scope reduction. 34:58 And so, we're happy that those deals that have renewed, I don't really see other deals like those going forward from a perspective of adjusting scope and they're also weren’t any of that that renew anywhere in the near term. And so these two really are isolated from -- in their nature, in their size and in their scope change. And so, I really -- we highlighted it for that reason. But if you adjust for those couple of things to say what is the underlying engine of our Data and Analytics delivering? It's delivering pretty strong mid to high single-digits growth as we're planning this year, very consistent with where we have been in the last couple of years.
Andrew Jeffrey: 35:42 Great color. Thanks.
Kirk Larsen: 35:44 Thank you.
Operator: 35:46 Thank you. We have next question from the line of Ryan Tomasello with KBW. Please go ahead.
Ryan Tomasello: 35:53 Good morning everyone. Congrats on rounding out the year and cleaning up the story here and also to Anthony on the success under your leadership. I guess, just on the volume question. Beyond the direct volume impact from origination volumes to revenue, maybe you can talk about any second derivative impacts across the business from a normalizing mortgage market? On the one hand, I know you and other players have talked about potential tailwinds in technology demand as the industry is less distracted. But the flipside of that entail potential non-direct impacts to product demand from declining industry profitability and potentially headcount. So, just curious how you're thinking through that in terms of the outlook for this year, beyond the direct volume sensitive revenues?
Anthony Jabbour: 36:46 Yeah. Maybe I'll take that and then Kirk, you could add on if you want to. The first is obviously the mortgage industry is changing with rates rising and volumes coming down, putting different pressure points on lenders. And from our perspective, I always think there's an opportunity on where we can help. So with the sales success we had in Empower last year, it was really helping when the volumes were tremendous, our scale and our capability helped our clients ramp up to that volume. And now, as volumes are going to drop off, the efficiency that we can deliver across our broad range of solutions will help our clients realize more efficiencies. And so, we see that and that's what we're leaning into right now. 37:35 Last year and the year before, when volumes were high, like I said, we had a tailwind from it, helping clients capture more of the volume, but also some headwinds from it in terms of the business was so great, nobody wanted to look sideways or move from what they were doing even if they were unhappy. And going forward, I think, there'll be a mixture of headwinds, but mostly tailwinds in terms of how we can help our clients be more efficient. 38:03 We've always talked about the $9,000 to originate a loan, and that talk in a away when the volumes were tremendous, because you could see the impact of fixed costs. But that is starting to come back again, and everyone's looking more closely at their operations. And we really feel confident that we've got a great solution that can help them in that way.
Kirk Larsen: 38:23 What I would add to that is our -- in Anthony's prepared remarks, we talked about signing more Empower clients this year than we did last year. Last year, we signed 30, which was clearly a record. And so, in 2022 we're expecting to sign more. And just to add on to that, we've signed four so far this year. So we are well on our way to meeting that target that we set on this call. So, we think there's a lot -- there's a lot of demand, the pipeline is bigger than it's ever been. And I think that we will -- we look forward to another very successful year from a sales perspective in 2022.
Ryan Tomasello: 39:00 Great. And then last week we had an announcement from MSP's primary competitor making additional investments and partnerships in their servicing technology with the top 10 servicer. Just curious, how you're thinking how that might impact competitive dynamics in the space? And maybe on that front, you could highlight some of the recent win rates for MSP over the last year? Thanks.
Anthony Jabbour: 39:26 Thanks Ryan. Yeah look, we know Jay and Chris really well, and I think they're great guys and valued clients of ours, do a lot of things with us across our -- all our capabilities. I think part of it, their renewal is a proof point that the economics don't make a lot of sense for a servicer to own their own platform and even for them at their size, they found a way to drive more value for themselves with their renewal. But what I'd say is, more broadly, we see new announcements every day since I arrived almost four years ago about some new player that's going to come in and disrupt the change -- the market. 40:10 And I had just a lot of conviction as our team did that with the assets that we own and the strategy that we have of innovation, integration and doing it all with urgency that it's a winning formula, and we've seen in our financial results, in our sales results, in our client interactions, it's resonating, it's working. And that's what we're going to continue to focus on. 40:35 Again, where -- that is an announcement of a new system that will be built in the coming years, it's on servicing and we're focusing on the entire continuum of mortgage. We certainly have a tremendous amount of capability in the cloud or cloud ready and that's obviously a key element for our innovation and our growth. But where we're more focused on, where you hear us talk about is, what it is that we're doing and what it is that we're delivering versus where it will be hosted. 41:15 And so, we've got a lot hosted in the cloud where it made sense. Our focus is innovation that's client-centric and how we can move our clients along with us as we innovate new product and that's the part I'm really most proud of, of how we're doing this -- it's not what we're doing, but how we're doing it with our clients. We're seeing the sales rates that we have on all the innovations we're bringing to market, it's working. 41:41 And so, we've a lot of confidence about our future in this space as well. And the stickiness of our servicing clients, it's a hard area to move and we've got a lot of investment that we've put into our capabilities, very deep client relationships, so we feel great about how we're positioned.
Kirk Larsen: 42:06 Ryan, what I'd add to that is, look at the sales growth for last year, we signed 16 new MSP clients, 16. And to give you a quick update, we've signed two so far this year. So, what we are doing is resonating. What we are doing is working. And we're going to continue executing that game plan and would expect that we would continue to win.
Ryan Tomasello: 42:28 Thanks for the color guys and good luck, Anthony on the transition.
Anthony Jabbour: 42:33 Thanks so much Ryan.
Operator: 42:35 Thank you. We have next question from the line of Mihir Bhatia with Bank of America. Please go ahead.
Mihir Bhatia: 42:41 Hi. Thank you for taking my questions. I just wanted to say firstly, congratulations to all three of you actually, Anthony, Joe and Kirk for the new position.
Anthony Jabbour: 42:51 Thank you Mihir.
Mihir Bhatia: 42:53 I wanted to ask maybe just to start, and I don't mean to quibble about this. But look, you just delivered 11% organic growth. You're guiding to 7% to 8%. What's driving some of that slowdown?
Kirk Larsen: 43:06 Sure. It's a very good question, and thank you for the congratulations. All three of us, sincerely appreciate it. It's really very simple. If you look at the 10% or so for 2021, there's a few things as you bridge that to 2022. The first is, we had Bank of America, you of course, appreciate that. We had Bank of America come on and that added -- it's a large -- very large deal and certainly added probably a point or a little bit more to our growth rate. So that was a part of it. 43:36 The other part of is, when we talked about this throughout 2021 was the elevated levels of what we call MSP usage based volumes. So that was as portfolios are moving among clients, as we brought on so many new loans, some of the usage based revenues were elevated compared to 2020. We expect them to maintain, but not grow at the same rate that they were. And I'd see the last -- probably another point and I'd say the last half point bridging from, call it, 7.5% to 10% would be those two date Data and Analytics deals that I discussed in response to Andrew's question. So that really is -- that bridges that difference. 44:15 And so if you think about that as far as what's transitory versus not, we don't expect other data and analytics deals like that, that type of a headwind. And so, to half a point that gets you from that 7.5% and to 8%, which is squarely in the center of our 7% to 9% range. And so, we feel very good about that, but that's how you bridge from 2021 to 2022.
Mihir Bhatia: 44:39 Got it. That's very helpful. And again, like, 7% to 9% -- 7% to 8% that you're guiding to is obviously higher than your, I guess, old long term guidance, very helpful there. And just one other question. You talked a little bit about it in the last answer, just about the pipeline of the MSP side. But maybe I think in your prepared remarks, you specifically called out the Empower pipeline and the growth. Just talk a little bit of the MSP side? And I was curious if you're seeing any benefits from -- it feels like there's increased regulatory focus on servicing and plus you have this potential uptick in foreclosures coming up. Are you seeing any benefits from that? Just talk about the MSP pipeline from here? Thank you.
Anthony Jabbour: 45:22 Yeah. Our MSP pipeline is very solid. Joe, actually you want to take this one?
Joe Nackashi: 45:31 Yeah. Thanks Mihir for the question. The MSP pipeline is extremely solid and I'd put in a couple of different categories. And to your point, obviously, regulatory compliance remains important to all of our customers. So we're seeing a flight towards making certain that our customers are armed with the best loss mitigation tools, the best work out options, making sure they're complying with all the requirements for the borrower, especially as the moratorium concludes and we start to see the foreclosure starts work through the pipeline. So that is absolutely critically important. 46:06 The other, I would say is, we're starting to see more as origination volumes slow, we're starting to see more servicers want to bring servicing in-house and service their own loans versus using other third parties in terms of self-servicing. So those would be some of the drivers that I would say that we're seeing. And then on the last one is, retention is critically important than recaptured. And so the combination of MSP and our servicing digital application has served us very well in terms of building the business case as to why MSP is the right platform. 46:38 As Kirk said, we've already signed two new MSP deals this year already and I'm confident we're going to continue to sign more.
Mihir Bhatia: 46:46 Thank you.
Operator: 46:50 Thank you. We have next question from the line of Manav Patnaik from Barclays. Please go ahead.
Manav Patnaik: 46:57 Thank you. Good morning, and congratulations to the three of you as well. Kirk, I was just hoping you could help us with a little bit of free cash flow guidance and the cadence at which you can delever from this 3.9 times pro forma level you called out?
Kirk Larsen: 47:16 Yeah. Great question. So free cash flow -- looking ahead, without giving specific guidance, we always -- we look to target approximately 100% of adjusted net earnings, that's our goal. There can be things -- timing effects that can affect that, whether it be things that were done, the CARES Act around some deferral of payroll taxes or the tax on the gain on Dun & Bradstreet shares that we'll have to pay over the course of this year, related to the stock through the shares that we just used in the transaction. But we can de-lever quick. That 3.9 times does not take into account any proceeds from further sales of Dun & Bradstreet shares, it doesn't take into -- it would obviously could de-lever very quickly, just based on EBITDA growth, as well as using free cash flow. 48:06 And to that end, we will use excess cash flow in the near term to pay down most of the revolver borrowings related to the deal. But we will be comfortably within our range of, call it, 2.5 times to 3.5 times. We'll be comfortable within that range very quickly. And so that gives us the ability to deploy capital in all the ways that we've always targeted, whether it's internal innovation, it's acquisitions, it's share repurchase. We really have -- we have all the levers at our disposal, but we will de-lever -- we'll de-lever quickly.
Manav Patnaik: 48:40 Got it. And my second question, you've given us a lot of good details here to model. Maybe, we could clean it up with how you are assuming the foreclosure tailwind? All the data suggest that very low levels of start, so just curious on what you're assuming and how we should think about the progression?
Kirk Larsen: 49:01 Absolutely. So we have -- we have $30 million in the plan, as I mentioned in my prepared remarks. That does not assume that we get back to 2019 levels, which we think is a reasonable level to get to. But maybe, it's going to take into 2023 to get there, maybe the exit rate this year is at those levels. But we're not assuming that aggressively in our plan for this year. And so, what would it really assume is something closer to 60% or 70% of those levels. 49:32 And importantly, what we were anxious to see as everyone's very curious on this topic, as we exited 2021 what we were very curious to see was, what's going to happen in January. Is there going to be a burst of activity? Is there going to be no activity? What is going to be? What are we going to see? And as we -- what we've seen so far is, it's actually been relatively steady. They are up significantly, five times or six times from what we saw from the month of December. And as a reminder, we -- our revenue model is based upon when the matter gets referred to an attorney, primarily when it gets referred to the foreclosure attorney, it's not the formal foreclosure start. So, it's when the process begins because that's when they start beginning to use our technology. 50:19 And so, we will see revenues in advance of when the formal foreclosure does commence, but the activity has been remarkably consistent through the first six weeks of the year. And if we were to continue at the levels that we are right now, we'd be in line with our plan, actually quite slightly ahead. 50:39 And so, where we are today we feel good about where levels are compared to our plan and I think what we have to do, Manav, is really just provide updates whenever we can so you know how things are progressing. But so far, it's been steady activity, which is comforting from a perspective of it's not a burst that -- it's not burst and bust type of situation, but there is volumes that support what we see for the year. And so, we're just going to have to continue to monitor it and provide updates as we progress through the year.
Manav Patnaik: 51:11 All right. Thank you very much.
Kirk Larsen: 51:14 Thank you.
Operator: 51:17 Thank you. We have next question from the line of Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: 51:23 Hey. Good morning, and I'll echo my congrats on the leadership transition.
Anthony Jabbour: 51:29 Thank you Steve.
Stephen Sheldon: 51:30 I know you're focusing heavily on cross-selling efforts right now, but just given the stickiness of your solutions, and I would argue a wider competitive moat given how much the solution set has brought in the recent years. Has it changed your thinking at all about pushing the pedal more on pricing? I think, you've historically gotten a little over 1% annual uplift on the pricing side. Would you expect that to change at all as you think about the next few years?
Anthony Jabbour: 51:59 It's a great question Steve. And look, we've always said we take the next product sale versus an increase in price, because obviously what it does, it's more valuable to as it creates a secure relationship for us to continue to grow from versus just price increases. But what I'd say is, certainly, we see pricing will continue to rise, especially in this inflationary period that we're in. Our contracts are tied to annual cost of living adjustments and so, we'll see some benefits from that on the pricing side as well. 52:39 But unlike some companies out there, we're not looking at growing purely by raising price and not doing anything else for our clients. Our focus is to create lots of capability that really helps our clients, that creates stickier, healthier, wider moats and then the price will come along with it. Our revenue growth and our margin expansion will come along with it. So, long winded way of saying, yes, we'll see that, but in the context of everything else that we are doing for our clients.
Stephen Sheldon: 53:12 Makes sense. Thank you and congrats on the results.
Anthony Jabbour: 53:15 Thank you Stephen.
Operator: 53:20 Thank you. [Operator Instructions] Your next question is from the line of Surinder Thind with Jefferies. Please go ahead.
Surinder Thind: 53:34 Thank you for taking my questions. A question about the growth strategy as we think about 2022 and then maybe a little bit longer, can you talk about how much of that might be coming from upselling existing clients versus trying to capture new clients? And how maybe we should be thinking about it on a longer term basis?
Kirk Larsen: 53:54 Yeah. The mix of new clients, which we would refer to as sort of platform sales versus cross-sell. It's a little bit -- it's a little bit of two thirds. Two thirds to three quarters of adding new clients. So, every time we add a client onto Empower or MSP, it not only brings with it a lot in the initial bundle because as we've brought in so many capabilities, it's almost five times the number of products in Empower sale and more than two times on an MSP sale, but it gives us that platform to cross-sell too. And so, as we continue to innovate, we continue to bring new capabilities we will add to that. But it really starts with that initial relationship that, that becomes frankly a partnership for a lifetime and one that we can just continue to add to. And it brings with it the bulk of the dollars but it is -- the cross-sell is critically important. We have amazing sales teams that, that's what they do. The account managers and sales folks that manage those existing relationships do a tremendous job, adding to those relationships that again become partners for a lifetime.
Surinder Thind: 54:57 That's helpful, and then clarification on some of the color on the expenses, you talked about some of the travel and marketing expenses beginning to return in the year. How are you thinking about that -- maybe perhaps on a longer-term basis? Is the expectation that maybe as we look out longer into 2023, we get back to more normalized levels or how should we just kind of think about that dynamic, obviously in a post-pandemic world where things are obviously different from an operational perspective?
Kirk Larsen: 55:29 As I sit here today, I would say that I would not expect to be on a call a year from now and talking about anything of the magnitude that's $7 million, for example, related to travel, entertainment and sales and marketing coming back. We're planning to have our client conference in-person that's part of sales and marketing costs. Our salespeople started frankly in the third and fourth quarter, going back to conferences, live. So, some of the increases we're talking about in 2022 I didn't mention it in 2021, but the fourth quarter, that was probably 60 basis points, 70 basis points of margin that we spent getting back into people traveling and going to conferences in-person, so we started. 56:09 So, I don't think that, that's a -- there may be a little bit that carries over into 2023, but I think this is the bulk of it from a sales and marketing, travel and entertainment perspective. From a wage inflation perspective, maybe getting a little granular on all of these things that I really want to help with your models and understand the long-term, so I appreciate you asking this question. I don't know what 2023 is going to look like from a wage inflation perspective. In the grand scheme of things, $5 million, I think is not significant. It's important that we -- we started early on these things and really realizing how important it is for us to keep our team members, to keep the group together, to manage attrition at levels that we think are meaningfully better than where the market is, and that's really what drives some of that wage inflation. But I think over time, it will abate. 56:58 So, I don't think it's -- certainly if I -- as we put together our typical strategic plans and look to the long-term, maybe there's some that goes into 2023, but this is not a long-term phenomenon, I think on either front.
Surinder Thind: 57:11 That's helpful. And then one other one, you gave some good color on the assumptions around foreclosure volumes. Can you talk about the actual quantitative assumptions around the mortgage volumes? It sounded like your expectations are that towards the end of this year you'll get back to more normalized levels in mortgage. But by normalized, do you mean like 2019 levels or how should we be thinking about that dynamic?
Kirk Larsen: 57:36 Very similar to what the MBA is forecasting. So, yeah, I think it does get back down to right about those levels. And I think pretty consistent with where -- I mean, I think if you look over the last eight or 10 years, what -- specifically looking at refi, where there's a lot of movement. I think over the last eight or 10 years, it was $260 billion or so a quarter. I think by the end of this year, the MBA is forecasting $176 billion a quarter. 58:02 So maybe it's a little bit below that, that longer-term average. But getting back to that, I mean, I think another way to think about it is since the beginning of 2019, cumulatively, we've had a tailwind of about $32 million. And as we look at it and plan, we basically think that that's the amount that we will see as the market moderates to a more normalized level. That's the headwind we'll see. And we're seeing $30 million of that this year. 58:28 And so, within a couple of million bucks, if anybody can predict volumes that specifically, I commend them. But I would say we're largely bearing the brunt of that decline this year. And as we look to next year, maybe there's a little bit but not much. So, it's -- we rely on our own forecasts. We have an amazing set of data scientists that help us with this. But it ends up being pretty similar to what other third parties are looking for now. 58:56 Importantly though, we're not expecting -- we're not expecting to see a decline of that same percent. That's what we're modeling for the market. But we expect to outperform the market based upon our mix of clients and products and bring some contractual projections related to minimums that we'd be down maybe two-thirds of that. And you saw that in the third quarter and the fourth quarter that we outperformed the origination market. So, that's a very detailed answer to how we're thinking about it. But happy to dig further if necessary.
Surinder Thind: 59:32 I appreciate that the details. Thank you very much.
Operator: 59:35 Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. And I'd like to turn the call back to Anthony Jabbour for closing remarks. Over to you sir.
Anthony Jabbour: 59:46 Thank you. Yeah. Thank you. In closing, we're very pleased with our outstanding quarterly and full year results. I'd like to thank our clients for their trusted and strong partnership. And I'd like to thank my colleagues for their focus on providing superior support to our clients and one another. Thank you for joining us on the call and your interest in Black Knight. Enjoy the rest of your day.
Operator: 60:09 Thank you very much. Ladies and gentlemen, this concludes today's conference. You may now disconnect your lines at this time. Thank you for your participation.